Operator: Good day, ladies and gentlemen, and welcome to the Ford Motor Company third quarter earnings conference call. My name is Katrina, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this presentation. (Operator instructions) As a reminder, this conference is being recorded for replay for purposes. I would now like to turn the presentation over to your host for today’s call, Mr. Brian Harris, Director of Investor Relations. Please proceed.
Brian Harris: Thank you Katrina, and good morning ladies and gentlemen. Welcome to all of you who are joining us today either by phone or webcast. On behalf of the entire Ford management team, I would like to thank you for spending time with us this morning. With me here today are Alan Mulally, President and CEO of Ford Motor Company; and Lewis Booth, Chief Financial Officer. Also in attendance are Bob Shanks, Vice President and Controller; Neil Schloss, Vice President and Treasurer; Mark Kosman, Director of Accounting; and K.R. Kent, Ford Credit’s CFO. Before we begin, I would like to cover a few items. Copies of this morning’s press release and presentation slides that we will be using today have been posted on Ford’s Investor and Media Website for your reference. The financial results discussed herein are presented on a preliminary basis. Final data will be included in our Form 10-Q for the third quarter. Additionally, the financial results presented here are on a GAAP basis, and in some cases on a non-GAAP basis. The non-GAAP financial measures discussed in this call are reconciled to our GAAP equivalent as part of the appendix to the slide deck. Finally, today's presentation includes some forward-looking statements about our expectations for Ford's future performance. Actual results could differ materially from those suggested by our comments made here. Additional information about the factors that could affect future results is summarized at the end of this presentation. These risk factors are also detailed in our SEC filings, including our annual, quarterly, and current reports. With that, I would now like to turn the presentation over to Ford’s President and CEO, Mr. Alan Mulally.
Alan Mulally: Thank you, Brian, and good morning everyone. We are very pleased to be able to share today our third quarter financial results, which clearly show that Ford is making tremendous progress despite the prolonged economic slung. While we still face a challenging road ahead, our transformation is working, and our underlying business continues to grow stronger. In the third quarter, we made progress in all four areas of our plan, aggressively restructuring to operate profitably at the current demand and the changing model mix, accelerated development of new products our customers want and value financing our plan and strengthening in balance sheet and working together effectively as one global team. In the third quarter, Ford recorded net income of $1 billion, an improvement of $1.2 billion from a year ago. For posted a pre-tax operating profit of about $1.1 billion for the quarter, an improvement of $3.9 billion from a year ago. This marks our first pre-tax operating profit since the first quarter of 2008. Notably, our North America operation achieved a pre-tax operating profit of $357 million, marking the first profitable quarter for North America since the first quarter of 2005. In addition, we achieved positive automotive operating related cash flow of $1.3 billion in the third quarter, a $2.3 billion improvement over the second quarter of 2009. Our continuing efforts to reduce automotive structural costs resulted in a net of $1 billion of savings in the third quarter. We have reduced automotive structural costs during the first nine months now by $4.6 billion, which places us well over our full-year 2009 target of $4 billion. We are putting the same intense focus on creating strong new products, such as the Ford Fiesta, Fusion, F-150, Taurus, and the Transit Connect. These new products helped drive our third quarter market share gains as we also continued to improve our transaction prices and our margins. Looking ahead, based on our recent performance and our present plan assumptions, we are changing our guidance for full-year 2011, from being breakeven or better to being solidly profitable for both the total company and North American automotive on a pre-tax basis, excluding special items with positive automotive operating related cash flow overall. As announced last week, we have confirmed Geely as the preferred bidder on the ongoing discussions concerning the possible sale of Volvo Cars, and as a further note, we have not yet received final results on the UAW Ratification Vote on the proposed amendments to our US Labor Agreement, we will withhold comment until after the union announces the results. We have however received final results from the CAW Ratification Vote and we appreciate that the CAW membership ratify this agreement, which ensures that Ford’s Canadian operations will be competitive going forward. I will start off providing you an overview of our third quarter financial results and business sales and product highlights. Then, our CFO, Lewis Booth will walk us through the third quarter financial results in even greater detail. Finally, I will summarize our outlook for the rest of the year and our plan going forward. Turning to slide 3, please. I will begin by reviewing the key financial results. As shown in the top of the slide, vehicle wholesales in the third quarter were 1.2 million units, up 57,000 units from a year ago. Our third quarter revenue was $30.9 billion, an $800 million decrease from a year ago. This includes an automotive revenue increase of $100 million, more than explained by favorable net pricing and higher volumes, primarily in North America, offset by unfavorable exchange translation. Excluding the impact of the exchange translation, automotive revenue would have increased by about 8%. Ford Credit’s revenue decreased by more than $900 million, reflecting the decline in their receivables. Our third quarter pre-tax operating profit, excluding special items, was about $1.1 billion, a $3.9 billion improvement from a year ago. Automotive results improved by over $3.3 billion and Financial Services improved by $502 million. Our third quarter net income attributable to Ford was $1 billion, including favorable pre-tax special items of $108 million. We ended the third quarter with $23.8 billion of automotive gross cash. This will be discussed in more detail later. Turning to slide four, please. In addition to total company pre-tax operating results improving by $3.9 billion compared with year ago, results improved in all of our operations by a total of $1.5 billion compared with the second quarter of 2009. We reduced our automotive structural costs by $1 billion compared with the same period last year, and with $500 million of that improvement occurring in North America. Ford North America had an operating profit of $357 million, a $2.9 billion improvement from a year ago. Ford South America had an operating profit of $247 million, a $233 million decrease from a year ago. Ford Europe had an operating profit of $193 million, a $124 million increase from a year ago. Ford Asia Pacific and Africa had an operating profit of $27 million, a $23 million increase from a year ago. Volvo had an operating loss of $135 million, a $323 million improvement from a year ago. Volvo continues to be reported as an ongoing operation. The effects of held-for-sale accounting related adjustments are reported as special items. Finally, Financial Services had an operating profit of $661 million, a $502 million increase from a year ago. Slide 5 details some of our key business highlights since our last earnings release. In September, we began production of the Ford Transit Connect small commercial van at our new manufacturing plant in Craiova, Romania. We announced an investment of $500 million at Ford India’s Chennai assembly plant to build the new Ford Figo, a smaller car targeted at the heart of the Indian market, debuting in 2010. Chennai will become an important distribution hub for Ford going forward. In China, we announced a new $490 million assembly plant in Chongqing, China, which will be completed by 2012, and will produce the Ford Focus for the Chinese market. Ford, Lincoln and Mercury brand vehicles in the US had the fewest number of ‘things gone wrong’ among all automakers, according to the third quarter GQRS study of new vehicle quality. Ford has now received $886 million in loans from the US Department of Energy for development of more fuel-efficient vehicles. Ford has been approved for up to $5.9 billion in loans in support of projected expenditures through mid 2012. We also raised $565 million in new equity as we completed our previously-announced plan to issue up to $1 billion of new equity. In addition, Ford Credit completed $10 billion in funding for the third quarter, including $2.8 billion unsecured, and now has essentially completed its full-year funding plan. Turning to slide 6 please, we will look at Ford’s third quarter sales highlights. Ford increased its year-over-year market share in North America, South America and Europe, while we continue making improvements in our transaction prices and margins. We maintained our market share in the Asia-Pacific region and Volvo gained market share. In the US, third quarter market share increased 2.2 percentage points compared to last year, and as the Ford, Lincoln and Mercury brands all posted sales gains. Ford Europe’s market share was 9.2% for the quarter, up six-tenths of a point from last year and the highest third quarter market share in the last 10 years. Market share was 10.1% in September, that’s Europe’s highest monthly share in 8 years. Record growth in China continued as Ford third quarter sales jumped 63%. At the end of the third quarter, worldwide sales of the new Ford Fiesta reached 470,000 units since its launch last fall. The Number 2 best-selling car in Europe posted its highest September sales since 1994. In September, Fiesta also had its best sales month ever in China. Fiesta arrives in the US market in 2010. We began selling the all new Ford Taurus and the Transit Connect in North America. Taurus got off to a very strong start, with September sales up nearly 60% from a year ago. The Ford Focus and the Ford Escape were among the top new vehicles purchased in the US government’s Cash for Clunkers program, and Ford’s US hybrid sales have risen 73% this year compared to a 14% decline in US hybrid industry sales overall. More than 60% of Ford Fusion hybrid sales have come from non-Ford owners. On slide 7 please, I will cover our many worldwide product highlights. Both the all new Ford Taurus and the Lincoln MKT earned a Top Safety Pick from the Insurance Institute for Highway Safety. Ford Motor Company continues to have more Top Safety Pick ratings than any other automaker. We made several announcements at the Frankfurt Motor Show in September. We unveiled the all-new C-MAX. The C-MAX and the Grand C-MAX will debut in Europe in 2010, and the Grand C-MAX debuts in the United States in 2011. The new global C platform will underpin up to 10 models and more than 2 million units annually by 2012. We announced that Ford’s 1.6-liter and 2.0-liter four-engine EcoBoost engines will make their debut in 2010 across Europe, North America, and Australia. In India, we unveiled the new Ford Figo to compete in India’s small car segment market in 2010. Small cars account for more than 70% of India’s new vehicle market. We launched the new Ford Fiesta in Taiwan and continued the successful rollout of the Ford Focus and Ford Everest SUV in additional Asian markets. We revealed the new 2011 Ford F-Series Super Duty down in Texas. The work truck will be powered by two new powertrains developed by Ford, a 6.7-liter V8 diesel engine and a 6.2-liter V8 gasoline engine, and we began selling the 2010 Ford F-150 SVT Raptor, an off-road performance truck, which captured the 2009 Pickup Truck of Texas award from the Texas Auto Writers. The Ford F-150 won the overall Truck of Texas award, the seventh straight year a Ford truck has earned the honor. Now, I would like to turn it over to Lewis who will provide more details on our third quarter financial results. Lewis?
Lewis Booth: Thanks Alan. Let me run to slide 9 to provide more information on our financial results. Our third quarter pre-tax operating profit excluding special items was about $1.1 billion, a $3.9 billion improvement from a year ago. Most of the remaining slides will focus on these pre-tax operating results. Our pre-tax operating profit excludes favorable special items of $108 million, which we will cover on the next slide. We recognized $139 million of tax expense and $79 million of our income was related to non-controlling interests. Beginning in 2010, new accounting standards on consolidation will require us to deconsolidate certain joint ventures. Although this will negatively impact our total 2010 pre-tax operating results and segment results, this will have no effect on net income attributable to Ford. We are presently analyzing the impact of this change on the income statement balance sheet and cash flow statement. Bottom line, the third quarter net income attributable to Ford was $1 billion, an improvement of $1.2 billion from a year ago. Turning to slide 10, covers special items, which was a favorable pre-tax amount of $108 million in the third quarter. This was more than explained by $163 million for held-for-sale accounts related adjustments for Volvo, reflecting the elimination of depreciation and related costs. In addition, we incurred net charges related to primarily to global personnel reduction actions on the UAW Retiree Health Care VEBA agreement. Now on to slide 11, which shows our pre-tax operating results by sector. Our third quarter pre-tax operating results were a profit of about $1.1 billion. These results included a profit of $446 million for the automotive sector, and a profit of $661 million for Financial Services. As Alan mentioned, and as shown in the memo below the chart, total company pre-tax operating results have improved by $3.9 billion compared to the year ago and $1.5 billion compared to the second quarter of 2009. Let’s move to slide 12, which shows pre-tax operating results for each of our automotive segments and Other Automotive. As shown in the memo below the chart, almost all of our segments had pre-tax operating results, which showed significant improvement compared to both year-ago and the second quarter of 2009. We will focus here on Other Automotive and then cover the automotive segments in detail in the next slides. In the third quarter, Other Automotive was a loss of $243 million, reflecting primarily the net interest expense of $214 million, which is comprised of over $300 million of interest expense, offset partially by net gains associated with our investment portfolio and interest income. As shown in the memo below the chart, Other Automotive declined by $107 million compared to the second quarter of 2009, more than explained by the non-recurrence of favorable fair market value adjustments. Slide 13 shows the change in third quarter automotive pre-tax operating results compared with 2008 (inaudible) factor. Volume and mix was $300 million favorable, explained primarily by market share improvements and dealer stocks, offset partially by declines in industry volumes. While dealer stocks were reduced this quarter, the amount of the reduction was less than for the same period of last year. Market share improvements reflected primarily a 2.2 percentage point improvement in the US and six-tenths of a point gain in Europe. Net pricing was $1.9 billion favorably, explained primarily by high US net pricing, reflecting the success of our new products, our continued disciplined approach on incentives, and selective topline pricing. Cost changes were $1.7 billion favorable, more than explained by structural cost reductions and low raw material costs, which included a non-recurrence of about $500 million of unfavorable mark-to-market adjustments on commodity hedges. On the next slide, we will focus on our structural cost changes. Exchange was $800 million unfavorable, explained primarily by North America, South America and Europe, reflecting in part the non-recurrence of favorable balance sheet of levies and adjustments. Net interest and fair market value adjustments were $200 million favorable, explained primarily by improved portfolio performance. Now on slide 14, which explains our automotive structural cost reductions, these were $4.6 billion in the first nine months, and as shown in the memo, $1 billion in the third quarter. Manufacturing and engineering costs were $2.4 billion lower in the first nine months, largely reflecting the continued benefits of improved productivity, personnel actions primarily in North America and Europe, and progress on the implementation of common global platforms and further developed processes. Spending related costs improved by $400 million, reflecting primarily low depreciation and amortization expense. Pension and retiree healthcare expenses were $800 million lower, reflecting primarily the effect of the UAW Retiree Health Care VEBA agreement. And overhead costs were $400 million lower, which include salaried personnel reductions and other restructuring expense. And finally, advertising sales promotion was $600 million lower than a year ago. Going forward, we expect structural cost to be relatively stable, now that we have largely completed significant restructuring actions within our manufacturing facilities and personnel reduction actions. These reductions along with our UAW Retiree Health Care VEBA agreement became effective during the third quarter last year, have lowered our overall cost structure. For the next section of slides, we will cover each of the automotive segments, starting with North America on slide 15. In the third quarter, wholesales were 516,000 units, up 54,000 units from a year ago, reflecting primarily market share improvements. Third quarter US total market share for Ford’s Lincoln and Mercury was 14.6%, up 2.2 points from a year ago, reflecting primarily higher retail share. Although not shown, today, the market share was 15.9%, up 4.1 points over a year ago. During the third quarter, we reduced US dealer stocks by 31,000 units. In comparison, through the third quarter of 2008, we decreased dealer stocks by 81,000 units. The market demand for our vehicles in the third quarter of 2009 resulted in the lowest level of dealer stocks in over 10 years. As we have announced, with increased production in the fourth quarter, to return to planned dealer stock levels. Third quarter revenue was $13.7 billion, a $2.9 billion or 27% increase from a year ago, more than explained by favorable net pricing, higher volumes and higher favorable product mix. For the third quarter, Ford North America reported a pre-tax operating profit of $357 million, almost a $3 billion improvement from a year ago, which we will cover in more detail on the next slide. Slide 16 provides an explanation of the change in North American results compared with 2008 by total factor. Volume and mix was $700 million favorable, reflecting primarily a favorable series mix for the new F series and Taurus, market share improvements and a smaller decrease in dealer stocks, offset partially by decline in US industry volumes. Net pricing was $1.4 billion favorable, reflecting primarily the success of our new products, including F-150, Fusion, and Taurus, our continued disciplined approach on incentives and selective topline pricing. Cost decreased by $1.1 billion, reflecting primarily the low raw material costs and the non-recurrence of unfavorable mark-to-market adjustments on commodity hedges. Structural costs also improved, reflecting primarily lower manufacturing and engineering and OPEB costs. Exchange was $300 million unfavorable, reflecting primarily the balance sheet impact of a weaker US dollar relative to the Canadian dollar. Although not shown, pre-tax operating results improved by $1.2 billion compared to the second quarter of 2009. This improvement is explained by favorable results across all elements of the business, including favorable net pricing related primarily to lower incentives, higher industry volume driven in part by the US government Cash for Clunkers programs and cost reductions. Slide 17 shows US market share of Ford Lincoln and Mercury. In the third quarter, our US total market share was 14.6%, up 2.2 points from a year ago and down 1.8 points from the second quarter of 2009. Compared with 2008, our market share improvement reflects primarily higher retailer share, resulting from the demand of our fuel-efficient product lines, Ford Fusion and Fusion hybrid, the Escape and Escape hybrid on the Ford Focus. In total, our market share for cars, crossovers and small utilities was up 1.9 points from the year ago, which highlights the strengths of our portfolio of vehicles. Additionally, our retail share of retail industry was an estimated 13.1% in the third quarter, up 2.1 points from a year ago, reflecting balanced performance across most segments. Relative to second quarter of 2009, our US total market share declined, reflecting primarily a seasonal decrease in fleet mix. Now, on to South America, on slide 18. In the third quarter, wholesales were 108,000 units, down 18,000 from a year ago, reflecting a decrease in dealer stocks and declines in industry volume, offset partially by market share improvements. Third quarter revenue was $2.1 billion, a $600 million decrease from a year ago, more than explained by unfavorable exchange translation and lower volume. For the third quarter, Ford South America earned a pre-tax operating profit of $247 million, a $233 million decrease from a year ago. The decrease is more than explained by unfavorable exchange primarily in Brazil and Argentina. Although not shown, pre-tax operating profits improved compared with second quarter of 2009. Slide 19 covers Europe. In the third quarter, wholesales were 393,000 units, down 17,000 units from a year ago. This reduction is more than explained by lower industry volumes in Russia, offset partially by market share improvements in the 19 markets that we track. Third quarter industry SAAR for the 19 markets that we track was 16.2 million units, down slightly from the year ago. Although not shown, Russian industry SAAR was 1.4 million units, down 1.8 million or 56% from a year ago. Third quarter market share was 9.2%, up six-tenths of a point from last year, the highest third quarter level in 10 years, reflecting the continued strength of our product portfolio and a shift in segmentation towards our strong small cars. Projection will increase in the fourth quarter to return dealer inventories to planned levels, following our strong market share performance. Third quarter revenue was $7.6 billion, a $2.1 billion decrease from a year ago, explained primarily by unfavorable exchange translation, unfavorable product mix and lower volumes. For the third quarter, Ford Europe reported a pre-tax operating profit of $193 million, a $124 million increase from a year ago, which we will cover in more detail on the next slide. Slide 20 provides an explanation of the change in Europe results compared with 2008 by polls factor. Volume and mix was $400 million unfavorable, reflecting primarily higher mix of small vehicles, driven by government scrappage incentives, a decline in commercial vehicle volume, and lower industry volume in Russia. Market share improvements provided a partial offset. Net pricing was $200 million favorable compared to a year ago. This reflects primarily pricing in Briton and Russia to offset unfavorable currency effects. Costs decreased by $500 million, more than explained by structural cost reductions, lower raw material costs and non-recurrence of an unfavorable mark-to-market adjustment of commodity hedges. And exchange was $200 million unfavorable, due primarily to the weakening of the British Pound and the Russian Ruble compared with Euro. Slide 21 covers Asia-Pacific and Africa. In the third quarter, wholesales were 139,000 units, up 28,000 units from a year ago, more than explained by strong performance in China, which was up 32,000 units. Third quarter industry SAAR was 25.9 million units, up 5.9 million units from a year ago, more than explained by 65% increase in the Chinese industry. Third quarter market share was 2%, equal to the prior year. Share was maintained just by significant segmentation challenges. We recently announced some investment plans for India and China, including the introduction of the new Figo, should position the Ford brand for growth in the small car segment. Third quarter revenue, which excludes sales at our unconsolidated Chinese joint ventures, was $1.5 billion, a $200 million decrease from a year ago. This decline is more than explained by unfavorable exchange translation and lower volumes outside of China. For the third quarter, Asia-Pacific and Africa reported a pre-tax operating profit of $27 million, a $23 million from a year ago. This increase is explained primarily by favorable net pricing, China’s joint venture profits and trusted actions, offset partially by unfavorable exchange. Slide 22 covers Volvo. As Alan mentioned, Volvo continues to be reported as an ongoing operation. The effects of held-for-sale accounting-related adjustments, primarily the elimination of deprecation are reported as special items. In the third quarter, wholesales were 76,000 units, up 10,000 units from a year ago. This increase is explained primarily by market share improvements and a smaller decrease in dealer stocks, offset partially by a decline in industry volumes. Third quarter market share in the US was six-tenths of 1%, and share in Europe was 1.2%. US market share improved by two-tenths of a point from last year, reflecting the continued success of the all new XC60 and the comprehensive Safe & Sound customer coverage plan. Third quarter revenue was $3 billion, a $100 million increase from a year ago, explained primarily by higher volumes, offset partially by unfavorable exchange translation. For the third quarter, Volvo reported a pre-tax operating loss of $135 million, a $323 million improvement from a year ago. The improvement is more than explained by continued progress on cost reductions, favorable exchange and higher volume and mix. Volvo’s restructuring actions have resulted in $750 million of total cost reductions for the first nine months compared with a year ago, including $600 million of structural cost reductions. As Alan mentioned, we are engaged in ongoing discussions with a preferred bidder concerning the possible sale of Volvo Cars. Coming to slide 23, which shows automotive gross cash and operating-related cash flow. We have ended the third quarter with $23.8 billion in automotive gross cash, up $2.8 billion from the end of the second quarter of 2009. Our automotive operating-related cash flow was $1.3 billion positive in the third quarter, reflecting an automotive pre-tax operating profits of over $400 million, capital spending during the quarter that was $200 million lower than depreciation and amortization, changes in working capital and other timing differences that were $1.2 billion positive. This was explained by $1.3 billion of positive working capital, reflecting primarily payables increases, as we returned to balances closer to normal and inventory reductions to lower comparing levels. A $400 million receipt of a Canadian government tax refund was offset by timing differences related primarily to healthcare payments. Payments of $500 million in Ford Credit reflected upfront payments of subvention. The automotive operating related cash flow of $1.3 billion in the third quarter represented a $2.3 billion improvement over the second quarter of 2009. This reflects primarily improved cash from earnings from the receipts of the Canadian government tax refund, other changes in automotive gross cash, included personnel reduction action payments of $200 million and pension contributions of $100 million, net receipts from our financial services sector of $600 million. This includes a $400 million receipt related to our Ford Credit distribution. This is part of Ford Credit’s revised plan to make $3 billion of cash and non-cash distributions for Ford Motor Company through 2010, up from the previously announced $2 billion. For the first nine months of 2009, $1.5 billion of this amount has been remitted. Equity issuance proceeds of about $600 million related primarily to completion of our previously announced plan to issue up to $1 billion of equity and receipt of about $900 million in loans from the US Department of Energy for development of more fuel efficient vehicles, offset partially by net debt to payments of about $300 million. Including these impacts, the total increase in automotive gross cash through the third quarter was $2.8 billion. Slide 24 summarizes our automotive sector cash and debt position. At the end of the third quarter, automotive debt was $26.9 billion, of which $1.6 billion matures within the next year. Our gross cash net of debt as of September 30th, was $3.1 billion negative. As we have previously disclosed, upon implementation of the new VEBA agreement with the UAW, which is still subject to court and other approvals, our debt balances will increase for the notes issued to the new VEBA, that will be about a $2 billion payment around year-end, a portion of which may be settled in equity. And subject to final fair market evaluation of the notes, it is estimated presently that recognition to these obligations after the year-end payment will increase our debt by $7 billion to $8 billion, and increase 2010 interest expense by about $700 million. Now, let’s turn to slide 25 on financial services. For the third quarter, financial services reported a pre-tax operating profit of $661 million, a $502 million from a year ago. Other financial services reported a pre-tax operating loss of $16 million in the third quarter, a $14 million decline from a year ago. We have Ford Credit in more detail on the next slide. And slide 26 covers Ford Credit. For the third quarter, Ford Credit reported a pre-tax operating profit of $677 million, a $516 million increase from a year ago. Volume was $300 million unfavorable, reflecting in declining receivables. As shown in the memo in the lower left of the slides, Ford Credit’s September 30th, 2009, managed receivables were $94 billion, about $36 billion lower than a year ago. This decline is explained primarily by lower industry lower volumes, lower dealer stocks, the impact of divestitures and return to business arrangements, and changes in currency exchange rates. Financing margins were essentially flat compared to a year ago, and the decline in the provision for credit losses is $300 million, reflects primarily lower severity, consistent with improving auction values, offset partially by higher repossessions. Residual losses declined by $400 million, reflecting primarily the impact of improving auction values, resulting in lower losses on vehicles returned during the quarter. Other was $100 million favorable, reflecting primarily lower operating costs. We expect Ford Credit to be profitable in the fourth quarter of 2009 and end the year with managed receivables between $90 billion and $95 billion. Next year, we expect reduced profits based on lower average receivables, a non-recurrence of favorable 2009 factors. Slide 27 covers the liquidity and funding outlook for Ford Credit. The left book shows Ford Credit’s committed liquidity programs and cash and the utilization of its liquidity sources at the end of the third quarter. Ford Credit’s liquidity exceeded utilization by about $24 billion. While capital markets have been very difficult for much of the last year, we continue to see positive momentum for the second consecutive quarter, evidenced by improved market access and credit spreads. Year-to-date, Ford Credit has issued $4 billion in unsecured debt and completed $10 billion of TAWA [ph] possible trades in all of Ford Credit’s main US asset classes, including its first floor plan trade in October. Ford Credit no longer utilizes CPFF program. Outside of the United States, Ford Credit has executed its funding plans by completing securitization in both public and private markets. Ford Credit remains dependant on capital markets access growth funding strategy, and plans to renew committed capacity consistent with the size of its balance sheet. Ford Credit will continue to explore and execute alternative business and funding arrangements in those locations where it lacks diverse funding capacity. And Ford Credit's funding structure remains focused on maintaining liquidity to meet short-term funding obligations, including holding substantial cash balance. At the end of the third quarter, Ford Credit's managed leverage was 7.7 to 1, and Ford Credit's equity was $10.5 billion. Slide 28 covers our 2009 fourth quarter production plans. In North America, the fourth quarter production schedule is 570,000 units, up 141,000 units from a year ago, and unchanged from our guidance provided in August. For Ford Europe, we expect fourth quarter production of 456,000 units, up 91,000 units from a year ago. And at Volvo, we expect fourth quarter production of 95,000 units, up 27,000 units from a year ago. Overall, fourth quarter production is expected to be up compared with a year ago and third quarter 2009 level. This increase is to return to planned dealer stock levels and match productions with market demand for our products. And now, I would like to turn it back to Alan to summarize our outlook for the rest of the year and our plan going forward.
Alan Mulally: Very good. Thank you very much Lewis. On slide 30, I will provide an overview of the business environment going forward. We continue to see improvement in the leading indicators of our major markets. With ongoing policy support, financial markets have continued to normalize. We are even seeing some financial market indicators returning to pre-crisis conditions. Consumer confidence and labor market conditions however remain a drag on the near-term spending outlook for the US and for the UK. In addition, our suppliers and dealers have been weakened by the impacts of the global economic downturn. Upward pressure on the commodity prices has resumed in conjunction with the emergence of an economic recovery. This trend is likely to continue into next year. Our business continues to be affected by current volatility. Recently, the US dollar has weakened substantially against the Euro, Yen, and the Canadian Dollar. The British Pound has also weakened against the Euro. We expect weak volumes this year across most markets, with worldwide sales down around 7% compared to 2008. This reflects weak conditions in the US market, with more modest declines in Europe, owing to substantial scrappage programs. We expect full-year 2009 industry volumes in Europe and Asia-Pacific to be stronger than our previous estimate. For 2010, we expect to see a gradual improvement in global industry volumes, as a result of the very effective 2009 European scrappage programs, however there is expected to be a substantial payback in 2010, particularly in Germany. Now, on to slide 31, please, which shows the status of our 2009 planning assumptions and operational metrics for the first nine months. We expect the full-year US industry will be about 10.6 million units, consistent with our previous guidance and present economic outlook. Europe is now expected to be about 15.7 million units, higher than our previous guidance. On the operational metrics, as mentioned previously, US Ford, Lincoln and Mercury brand vehicles had the fewest number of things gone wrong among all automakers. International results remain mixed as Europe continues to address issues. They showed a 9% improvement of things gone wrong compared with the second quarter of 2009. Automotive structural costs were reduced by $4.6 billion during the first nine months. We now expect full-year structural cost reductions of about $5 billion. As mentioned earlier, we have achieved significant structural cost reductions over the past four years, and going forward, we expect structural costs to be relatively stable. US total market share was 15%, our share of the US retail market was 12.9% and Europe market share was 9.2% in the first nine months. We expect full-year market shares to remain at about the same levels. Automotive operating-related cash flow was $3.4 billion negative during the first nine months, better than our prior expectations and nearly $9 billion better than the same period last year. We expect automotive operating-related cash flows to be positive in the fourth quarter. Capital expenditures were $3.4 billion during the first nine months. We now expect full-year capital spending to be about $5 billion or slightly less. A higher projected fourth quarter spending reflects the timing of our product launches as we maintain our product plans. Overall, we remain on track to achieve or exceed all of our 2009 financial targets in almost all of our operational metrics. In addition, as I mentioned earlier, based on our recent performance and our present plan and assumptions, we are changing our guidance for full-year 2011, from being breakeven or better to being solidly profitable for both the total company and North American automotive on a pre-tax basis including special items, with positive automotive operating-related cash flow. While we continue to have confidence that the global economy will be improving by 2011, the near-term growth outlook remains rather uncertain. There is a high likelihood of a substantial decrease in European industry volumes, as scrappage programs are wound down. This decrease could more than offset US volumes that may improve somewhat from this past quarter’s levels. We expect to know more about the state of the global recovery and its impact on 2010 automotive industry volumes in the next few months. Following our normal process, we will provide you with a guidance on our 2010 plan and assumptions and operational metrics early next year when we release our full-year 2009 results. Now turning to slide 32, we will summarize the key aspects of our plan. These have not changed. To sum up, we are very pleased with the progress we have achieved so far this year. We have been able to accelerate improvements in our brand reputation and the trajectory of automotive profitability is stronger than previously expected. Based on these strong results, we have increased confidence on our ability to deliver on our plan. Our transformation however is far from complete. The global business environment remains very difficult, and Ford faces significant challenges ahead. Despite the continuing economic headwinds, we remain confident that we have a right plan and are taking the right actions to transform Ford into our leading company that delivers profitable growth for all of the stakeholders. And now, we would be very pleased to take your questions.
Brian Harris: Thank you Alan. Ladies and gentlemen, we are now going to start the Q&A session. We have about 45 minutes for the question-and-answer period. We will begin with questions from the investment community and then take questions from the media who are also on the call. In order to allow as many questions as possible in our time frame, please keep your questions brief. Katrina, can we have the first question please?
Operator: (Operator instructions) Your first question comes from the line of John Murphy representing Banc of America. Please proceed.
John Murphy – Banc of America: Good morning guys.
Alan Mulally: Hi John.
John Murphy – Banc of America: Just a question around the common architectures that you are ramping up on, you gave an interesting metric on the C platform, and getting 2 million off of that by 2012, I was just wondering if you could give us any broader metrics on that progress by 2012, and just give us an idea where you stand right now on those common architectures?
Alan Mulally: You bet. As you pointed out, we are really making tremendous progress on that, and it really has accelerated with the acceleration of the new vehicles, especially the B, and the C, the CD platform. On the B platform, a little bit more granularity, we think that over the next couple of years, we will be over a million units on that platform, and on the C platform, we think we could be in excess of 2 million units. And kind of overall, John, what we are looking at now across our entire product line is that nearly 80% to 85% over this next two or three years will be on these common platforms worldwide. So, we are really pleased with the acceleration of that project going of course along with that as we noted today, we are starting to see tremendous improvement in the engineering and manufacturing efficiencies as we move to those global platforms.
John Murphy – Banc of America: Okay, and then secondly, if we just think about structural costs, you have said you gone through $4.6 billion in cuts year-to-date, $5 billion is the target, what’s the base that you are on right now? And as we step forward in volumes to recover 2010 and 2011, I know it’s an open question as to how much they actually recover, but how should we think about operating leverage here, simply put where is your cap utilization rate now and where do you think it gets in the next few years as well?
Lewis Booth: We are not going to give out specifics of our cost base. In terms of as we go forward, our capacity utilization is going to increase, it’s about something like 75% to 80% depending on the region, and we will see that going up for a couple of reasons, One, as demand grows going forward and secondly, we still have some assembly capacity to take to some of our models we extended their lifetime.
Alan Mulally: John, I might just add that in hindsight, I think did exactly the right thing by not trying to get the utilization up earlier, because of an economic decision on each of the models, and as we have accelerated the new product development, I think they will be able to accelerate the utilization. On your other question, on the structural costs, I might just also add that clearly we have made tremendous progress on restructuring ourselves to be able to go forward matching the capacity of demand, but we will as a business objective continue to improve not only our quality, but also our productivity year-after-year.
John Murphy – Banc of America: But it’s fair to say that $5 billion is a significant chunk of your material – structural cost structure, correct?
Lewis Booth: Certainly, absolutely.
Alan Mulally: And you look at the Q in over the years, it really reflects some moving, you know, the value of moving aggressively and decisively early.
Lewis Booth: And what you will see, John, as we go forward is you will see some modest increases as we get some volume-related cost coming back as hopefully our volumes start going up.
John Murphy – Banc of America: You bet. And then just on the balance sheet front real quick, you mentioned, there would be about $7 billion to $8 billion coming on the balance sheet from the UAW notes, that’s not too much news, but in addition to that, as we think about the big balance sheet swings, we think about NOLs or the ability to offset future tax bills. I mean, where do you guys stand on that? I know you wrote down your tax assets a while back, what is the size that could be written back up, or how should we think about that as a potential benefit going forward to cash flow?
Lewis Booth: We really have to wait till we had a period of solid profitability before we could consider writing those evaluation allowances back up, John. And clearly, that’s always ahead of us yet.
John Murphy – Banc of America: But I was looking at the size of what was written down or written off at the time that was done?
Lewis Booth: I am done. I am just looking to see if anyone’s got the number and –John, we will get back to you, it was a big number.
John Murphy – Banc of America: Okay, thank you very much.
Alan Mulally: You bet. Thank you John.
Operator: Your next question comes from the line of Himanshu Patel representing J.P. Morgan. Please proceed.
Himanshu Patel – J.P. Morgan: Hi good morning.
Alan Mulally: Good morning to you.
Himanshu Patel – J.P. Morgan: On North America, on the net pricing number, can you give a little bit of granularity on that? Sequentially, was there any reversal of incentive accruals that may have happened because of the sort of pricing environment that may have existed during Cash for Clunkers?
Lewis Booth: On retail, the timing we did on the fleet, not material, Himanshu.
Himanshu Patel – J.P. Morgan: Okay. The $565 million equity that was raised in the quarter, Lewis, should we just view this as something that you had planned last year, or is this part of your broader sort of balance sheet restructuring steps?
Lewis Booth: Himanshu, we, and I think in August last year and then we confirmed in October last year, we announced $1 billion. We stopped doing it around about the end of the third quarter or early fourth quarter when it was frankly an unfavorable time to do it. And we stopped $435 million. So, we just completed the $1 billion that we previously announced.
Himanshu Patel – J.P. Morgan: Okay. And then lastly, working capital has been pretty strong throughout the three quarters. It looks like production in both regions are sequentially going to rise even more in Q4. Any directional guidance you can give us on that figure for the fourth quarter?
Lewis Booth: No, what we are saying Himanshu, is overall, we expect operating cash flow to be positive in the fourth quarter. We are not giving any more guidance on that.
Himanshu Patel – J.P. Morgan: Okay. Thank you.
Lewis Booth: Could I just clarify just one statement that may have come over into equity. When we give guidance about being solidly profitable for both the total company and North American operations on a pre-tax basis, that excludes special items, I think it may –
Himanshu Patel – J.P. Morgan: Thank you.
Operator:
Rod Lache – Deutsche Bank: Good morning everybody and congratulations.
Alan Mulally: Good morning Rod. Thank you.
Rod Lache – Deutsche Bank: I am just first of all curious about your comments regarding solid profitability in 2011. It sounds like for 2010, you have some concern about Europe, but are there any factors that would you lead to conclude that you can’t sustain profitability in North America in this intermediate term?
Alan Mulally: I don’t understand it completely, Rod, and that the reason that we captured that way is that we are just not sure mainly about the strength of the recovery, just like everybody else is concerned about. But clearly, we will continue to make progress on the automotive. Ford Credit had a terrific year. They are where they are, and we have the extra interest expense. So, you don’t all have to gather in, and that’s why we are saying that for right, everyone just see how this develop and then clarify further guidance for 2010 in the first quarter when we do our year-end results. But clearly, we are on a path – plan to solid profitability, but that’s consciously optimistic point of view that we are trying to portray.
Rod Lache – Deutsche Bank: And also on North America, the pricing was spectacular. If I divide the upside that you are talking about by your wholesale shipments, it looks like $2,700 a vehicle, which I don’t recall ever seeing anything of that magnitude before, but I am wondering whether you kind of are looking at this as a structural improvement? It sounds like you are not identifying any anything anomalous about it in the quarter, and I guess another way to ask the way to ask the question as we look out a year from now, and we are comparing against these very strong pricing quarters in Q2 and Q3, I know it’s hard to predict, can you identify anything that you think might make this a very tough comparison?
Lewis Booth: It is hard to project. The reason we have been able to make progress is both the disciplined approach to production that the North American team has been doing. I am sure that’s going to continue, and that does to help you stay just alone on incentives. The other thing that’s going in our way is that our product program plan is still in intact, and a lot of this pricing has to do with our new product programs. Next year, we have got a lot going on, I mean, planned about the middle of the year. It’s a bit quiet, because we have Fiesta in the first half of next year, and we don’t have folks still in the back end of next year, but our continued efforts on new product programs, I think are the other important part of that answer.
Rod Lache – Deutsche Bank:
Lewis Booth: Of the $1.9 billion VEBA payment, only $600 million do we have a choice, that’s the note B, and we are not going to make any guidance on that until we actually get there. Just checking out, the provision for credit losses was $111 million, and if I could just follow up with one other question, to answer to John Murphy’s question on evaluation allowances, it was $17.2 billion. Not all will necessarily come back, really does depend on the timing and the return to consistent profitability.
Rod Lache – Deutsche Bank: Thank you.
Alan Mulally: Thanks Rod. You bet.
Operator: Your next question comes from the line of Brian Johnson representing Barclays Capital. Please proceed.
Brian Johnson – Barclays Capital: Good morning. Two quick questions, one on Europe and one on equity issuance. On Europe, do you have an order backlog leftover from the German scrappage program, and if so, is that going to carry into 2010?
Alan Mulally: We do have an order backlog. I am not sure it’s going to continue into 2010. I can double check that and get back to you, Brian.
Brian Johnson – Barclays Capital: Second question, you mentioned of course, disclosed the equity issuance, can you maybe walk from us from last quarter’s average share to quarter end 3.1 billion shares to this quarter’s average of 3.2, and also where is the quarter likely to come out? Was that all contained within that $600 million equity issuance?
Alan Mulally: I think so, I am just looking around to the experts, but I think so. If the answer is anything other than yes, I will get back to you.
Brian Johnson – Barclays Capital: Okay, thanks.
Alan Mulally: You bet.
Operator: Your next question comes from the line of Chris Ceraso representing Credit Suisse. Please proceed.
Chris Ceraso – Credit Suisse: Thanks, good morning.
Alan Mulally: Hi Chris.
Chris Ceraso – Credit Suisse: A question on South America, as we walk from the first and second quarter to the third quarter, there was a significant improvement in pre-tax profit per unit. You were running roughly around $700 in Q1 and Q2, and it jumped to $2,300 in Q3, what change sequentially there to improve the profit so much?
Lewis Booth: There’s a variety of factors. We saw some mix, we saw some posted pricing, we saw continued discipline on incentives, and we saw a bit of exchange.
Chris Ceraso – Credit Suisse: Any of those stand out in particular is making the difference?
Lewis Booth:
Chris Ceraso – Credit Suisse: Okay. You mentioned in the material cost and you called out in your pre-tax block in North America that it was $600 million favorable. I think in previous quarters, you had given a bit of a breakdown within that number explaining how much was related to product costs and how much came from raw materials, can you give us that breakdown as well as how much of that favorable $600 million came from the non-recurrence of the unfavorable hedge from last year?
Lewis Booth: Yes. About 300 was the normal charge of the hedge, the rest of it, I don’t have the breakdown at once.
Chris Ceraso – Credit Suisse: Okay. And then you mentioned that material cost are starting to go up again. Is that something that you will see in the next few quarters, or do we have about a year lag before you start to feel that?
Lewis Booth:
Chris Ceraso – Credit Suisse: Okay. And then just one another, just so I am clear with regard to the equity raise of $1 billion. You said you have done $565 million already, does that mean that your loan lease have another $435 million of stock or –?
Lewis Booth: No, no. I am sorry. Maybe I didn’t explain it well. We had authorization and we had announced $1 billion. We have done $435 million before we suspended it in around about the early November. Frankly, because the market prices were poor, and we resumed it in the third quarter, and completed it in the third quarter, the $565 million. So, the whole $1 billion is done.
Chris Ceraso – Credit Suisse: Okay. That doesn’t rule out any further equity issuance as it relates to continuing to your weaker balance?
Lewis Booth: No, we have made no secret that we thought that some sweet action is ahead of us, but we are not announcing anything here.
Chris Ceraso – Credit Suisse: Okay. Thank you very much.
Operator: Your next question comes from the line of Patrick Archambault representing Goldman Sachs. Please proceed.
Patrick Archambault – Goldman Sachs: Hi, yes. Good morning.
Lewis Booth: Hi Patrick.
Patrick Archambault – Goldman Sachs: I actually wanted to follow up on Chris’ question on commodity costs. You guys in the past kind of broke it out into three buckets, which was sort of helpful, commodities, product ads and then I think sourcing – it might have had a different label, but it was effectively those three things. Can you help to mention for us sort of how that is likely to trend on a go-forward basis? I mean, you talked a little bit about commodities, so we understand that, that one is subject to increase, but how much can we expect in terms of a tailwind from sourcing? And then also I would be curious about just product ads, is regulation going to make that a big headwind as well or is that something you can manage? So, I guess that would be my first one.
Lewis Booth: We are going to continue to see some product cost ads, but for two reasons, one, some of the regulations, particularly the fuel economy regulations do add costs, but the second thing is that we have resolved, and you know we have done this to have great products. And it’s really the great products that is supporting the pricing. So, we are going to continue to see that. We will continue to see some improvements from material cost reduction action in general. And as you said, we will start seeing commodity prices play into our date [ph] in the starting, probably next quarter and then onwards. So, net, we would expect material costs to be up in 2010 compared with 2009.
Patrick Archambault – Goldman Sachs: Okay. Thanks, that’s helpful. I wanted to ask you a little about inventories, where – I guess third quarter, they were 313 in the US, where are you targeting those? I guess it’s possible my market share is different, but it seems that based on the production guidance you have, it seems like inventories would sort of rise from here. And just wanted to sort of see what you guys have in mind both in terms of absolute levels and sort of maybe a day supply target or something like that?
Lewis Booth: Yes, we are going to get – we are expecting a high sales life in the fourth quarter. So, we would expect to see our absolute inventories improve and we think we will get to 60 or 60 plus days supply at the end of the quarter.
Patrick Archambault – Goldman Sachs: Great. Thank you. And one last one, just on Ford Credit, can you just – in your guidance you said that, you know, positive in the fourth quarter, but in 2010, likely to be less profitable than in 2009, can you just help to mention sort of some of the, obviously you highlight the lower receivables, that’s one thing, is there anything else going on in terms of headwinds going from 2009 to 2010 that we should think about?
Lewis Booth:
K.R. Kent: Sure. Lewis is right. There might be a little squeeze on the margin next year, but we had a big one that we had this year. We had $300 million gain from the unhedged ICL intercompany loans that we have hedged loans out now. So, that won’t repeat, that $300 million just won’t repeat next year.
Lewis Booth: Okay. Just – I am sorry, carry on.
Patrick Archambault – Goldman Sachs: No, no. I just have one. What about just lease residuals, is that something that you feel with the recovery of the used prices, has a potential to continue to be a tailwind next year, is that something that’s reversed a lot already?
K.R. Kent: The lease residuals in the auction market is really hard for me to call. We have seen an increase all year along up through the end of the third quarter. What we have seen actually in October is it’s starting up off a little bit. It’s, I think, from the end of the third quarter till the last week in October, we have seen about a 3% decline in auction prices. It’s hard for me to give a forecast on auction prices going forward, but since we had a very high level right now, we will see what happens next year.
Patrick Archambault – Goldman Sachs: Okay. Great, thanks a lot guys.
Alan Mulally: You bet.
Lewis Booth: Okay. Just to answer the one question about the shares, the third quarter 565 million of equity issuance was 71 million shares, so you can work out the average price. And that’s the primary fact, we are down from 1 [ph] to 3.2 billion shares.
Operator: Your next question will come from the line of Itay Michaeli representing Citigroup. Please proceed.
Itay Michaeli – Citigroup: Great, thanks. Good morning.
Lewis Booth: Good morning.
Itay Michaeli – Citigroup: Lewis, I just had two casual questions. You just talked about how we should think about CapEx next year, you have been able to hold CapEx down very impressively in ’09, how should we think about that into 2010, and also just if you could update us on the US pension, please?
Lewis Booth: Yes, let me answer the second one first, because we won’t update you on the US pension till fourth quarter as we usually do, we don’t give up data during the year. In terms of CapEx for our Ford businesses, I am going to exclude Volvo from this, I think we can expect to see CapEx go up next year. We have been a bit lighter on CapEx this year than perhaps we expected. We are getting efficiencies of spending, and we are also a little bit lucky on calendarization. But as we have told you in the past, our product programs are intact, it’s just that we really worked hard on making sure we minimize what we spend on them, and we have a lot of launches in the first part of next year. So, that’s why we probably see CapEx go up, particularly in the first quarter next year.
Itay Michaeli – Citigroup: Sure, that’s helpful. And then just a follow-up on, you know, working capital was strong again in the quarter, could you just quantify the Tier 2 supply or distressed payments in the quarter and what you are thinking about for Q4?
Lewis Booth: Yes, the biggest part of working capital was, particularly seeing payables begin to improve as we get up to a more normal running rate. In terms of distressed supplies, and as I said you before, we have been really pleased with the robustness of our supply base and the way they managed their way through this, I don’t expect to see any significant changes, anymore significant changes in payment terms in the fourth quarter compared to the third quarter. And we would never say never, but our supplies have shown themselves robust and are getting through these pretty significant volume increases quite well.
Itay Michaeli – Citigroup: That’s great. Thank you so much.
Lewis Booth: Thank you.
Operator: Your next question comes from the line of Colin Langan representing UBS. Please proceed.
Colin Langan – UBS: Okay. Good morning. Actually following up on the working capital. Would it actually have been, working capital would have been better if there was some supplier distress in the issue, or was it just that there wasn’t actually a big factor feel at all?
Lewis Booth: It’s pretty minimal second order effect, not a major effect to have, Colin.
Colin Langan – UBS: In terms of – I know you said you wouldn’t comment on the UAW agreement, but could you comment on the timing on when you would expect something and possibly because could comment if the agreement is rejected, would you be willing to have deposits to go back and try to get another agreement again?
Alan Mulally: You are right. We can’t comment of course right now, because following their process, we want to wait until the UAW announces the results and their perspective volume met. We have just made such progress, because over the last few contracts and then between the contracts on improving our fundamental competitiveness, I mean, it’s a transformational agreement that allows us to make the echoes in United States and do it profitably. And going forward, I think for sure we are absolutely committed with the UAW and our employees to improving our competitiveness to compete with the very best in the world because everybody does know that, that is the foundation for us profitably growing the company. So, as soon as we get through this near-term explanation, then we will go back to work to see that how that continue to improve our competitiveness together.
Colin Langan – UBS: Okay. But the voting of the plants actually conclude pretty today I thought, is that correct.
Alan Mulally: Yes, we just have the process, and we just need to wait. It’s a UAW-managed process, so we need to wait until they make their announcements, probably later today or tomorrow and then we can move into and discuss in the future. Clearly, the majority of what we have done and the benefit that we have done over this last few contracts and so, we are committed to – I know UAW is and I know our employees are committed to ensuring that we are competitive, because that is our foundation for growing.
Colin Langan – UBS: Okay. Just one last one, I think you mentioned structural cost next year, you expect it to be more flat. Are there going to be some moving, can you go through some of the moving parts in there? I know a lot of people are talking about advertising gain up, I imagine you might be increasing that next year. And when you say structural costs, I mean, if they are flat next year, does that include material costs, maybe rising, because of commodities and foreign exchange issues, or is that just, you know, excluding those factors?
Lewis Booth: Yes, material will be up a little as I said, you know, one of the previous questions. We do have a big launch here and around the world next year, in the Ford US, new products as well as Ford North America. You know is when you start coming back assuming it does or see some volume related costs some shift premiums and overtime. So, we – and of course the comparisons year-over-year get a much, much tougher. I mean, the big significant improvements we started making, we got started pretty home in the fourth quarter last year. So, that’s why we are expecting to flatten off.
Colin Langan – UBS: Okay. All right. Thank you.
Lewis Booth: Thank you.
Operator: Your next question comes from the line of Steve Dyer representing Craig Hallum. Please proceed.
Steve Dyer – Craig Hallum: Thanks, good morning guys.
Alan Mulally: Good morning.
Lewis Booth: Good morning.
Steve Dyer – Craig Hallum: Just a question on the Ontario plant, wondering if you can give any additional color there with the transmission parts shortage and anything more you can say about that, sounds like a similar part is used and the Taurus, which is something I would assume you don’t want to be down right now, anything more you can tell us there?
Alan Mulally: No, except that we are clearly on top of that issue, and we have a good recovery plan in place.
Steve Dyer – Craig Hallum: Okay, thank you.
Alan Mulally: You bet.
Operator: Ladies and gentlemen, at this time, we will now welcome questions from the media community. (Operator instructions) Your next question comes from the line of Dee-Ann Durbin representing The Associated Press. Please proceed.
Dee-Ann Durbin – The Associated Press: Hello gentlemen, can you hear?
Alan Mulally: Hello, yes we can hear you.
Dee-Ann Durbin – The Associated Press: I have quite a few questions that I will try and rain it in a little bit. But specifically, I having trouble describing how North American results relate to the economy, is this a sign of an upturn, is this not really repeatable, because of the Clunkers program, if you could delve into that a little bit? And also, I am wondering if you have a cost disadvantage per vehicle, because you are not getting the same provisions as GM and Chrysler did in gearing up to your contract?
Alan Mulally: Okay. Sure Dee-Ann. With respect to North American operation, I think the key elements of their performance is led, of course, by the industry and the economy and also the strength of their product line. So, if you look at even in this down market, that because of the strength of the products, they have been actually increasing their market share. In addition to that, they have actually been decreasing their incentives, because of the strength in the quality of fuel efficiency and safety, the consumers are really valuing the North American product line. So, as we noted, we will actually be increasing again the production in North America for the fourth quarter. Both the support, the market, but also the fact that the industry is starting to recover. So, they are in a great place with their products and they are right there for them market recovering. The Cash for Clunkers, that specifically helped for everybody, and of course Ford had tremendous products in there to support what the consumers really want. But that has kind of come and gone, and what we are seeing now is a fundamental improvement in the industry and improvement in the competitiveness of North America going forward, and I think that’s what we all expect in the future. On the – what was your second one – on disadvantage? Yes, on the disadvantage, clearly Ford has so many more advantages than the potential to be disadvantaged. I mean, the fact that we have continued to invest in a world-class product line and when you see the third party endorsements, not only for the breadth of our product line, you know, small, medium and large cars, utilities and trucks, our commitment to be actually best-in-class, in quality, in fuel efficiency, in safety, in great design, and best value on everyone of these vehicles that comes out. So, we are creating a very strong business, and we are not taking taxpayer’s money. And so, the advantages clearly outweigh any potential disadvantage. Now, the reason I say potential is that, that we have worked very well with UAW over the years to ensure a transformational agreement that allows us to be competitive with the best in the world, and in going forward, we can’t clearly talk about the results of the last negotiation until the UAW comments on it, but we are absolutely committed with the UAW to continue to work on every element of Ford’s competitiveness going forward, because we all know that these are the reasons we are getting this result and this is the foundation of us competing with the best in the world, it’s also a foundation of us being able to grow the business. So, we will not be disadvantaged going forward, because it’s too important for all the stakeholders that we be absolutely competitive with the best in the world.
Dee-Ann Durbin – The Associated Press: Thank you.
Alan Mulally: You bet.
Operator: Your next question comes from the line of Tom Walsh representing the Detroit Free Press. Please proceed.
Tom Walsh – Detroit Free Press: Good morning guys.
Alan Mulally: Hello.
Tom Walsh – Detroit Free Press: You did not forecast any further increase in market share going forward, is that kind of just a conservative approach to avoid irrational exuberance or are there specific concerns that would retard future growth in market share?
Alan Mulally: Yes, the only guidance we gave on that was that we thought that throughout the rest of this year, the last few weeks are remaining that we would be about the same as what we have been running, which as you pointed out, we have increased the market share very significantly. And we haven’t given guidance for 2010, and we will talk about all of 2010 when we do the year-end results, Tom.
Tom Walsh – Detroit Free Press: Okay, that’s great. And one more thing, on transaction prices, which as Rod Lache said were spectacular, how much of an impact were, a, the F-150 launch in the quarter, and also the take rate on SYNC, how big factors are those in the transaction price improvements?
Alan Mulally: They are both, you know, two are key elements, but I would characterize it more, Tom, as the overall strength of the entire product line on the small and medium-sized vehicles as well as the larger ones, because we are seeing that value that the consumer places on Ford across the entire product line.
Tom Walsh – Detroit Free Press: Okay, thanks.
Alan Mulally: You bet.
Operator: Your next question comes from the line of Bryce Hoffman representing The Detroit News. Please proceed.
Bryce Hoffman – The Detroit News: Good morning. Congratulations gentlemen.
Alan Mulally: Thanks a lot Bryce, how are you?
Bryce Hoffman – The Detroit News: I am great. I wanted to ask you, I know you can’t comment on the UAW agreement, because it’s not – the results haven’t been announced, but one thing that I would like to ask you to comment on, Alan, is one thing that is clear from the comments we are hearing at plants across the country is that there is a lot of anger on the part of workers at Ford’s North American facilities or US facilities rather who feel that perceive that there has not been equitable sacrifice at all levels of the company, how do you respond to those sentiments?
Alan Mulally:
Bryce Hoffman – The Detroit News: One follow-up question, are you going to be looking in the next few weeks at any of your product sourcing decisions that were made kind of, these contract changes called for some new products to be sourced in the US, are those things that are going to be reevaluated in the weeks ahead?
Alan Mulally:
Bryce Hoffman – The Detroit News: Okay. Thank you.
Alan Mulally: You bet.
Operator: Your next question comes from the line of Keith Naughton representing Bloomberg. Please proceed.
Keith Naughton – Bloomberg: Hi Alan and Lewis.
Alan Mulally: Hi Keith.
Keith Naughton – Bloomberg: Good morning. I was wondering if the two of you felt like Ford or Ford Credit now deserve an upgrade from the credit rating agency?
Alan Mulally: I think the way we see all is that the most important thing that we continue to do, and that’s what’s to me clearly about today for everybody, Keith, is that the most important thing we do is that we have a plan to profitably grow Ford over the long term, and what you are seeing here today is a tremendous prove point, because we put a plan in place three years ago to focus on the Ford brand, to have a robust complete balanced product portfolio, to be actually best-in-class in every vehicle that we put out to have a financing plan, to fund the transformation and then continuing to improve our balance sheet, and clearly to use our fabulous resources worldwide. And I think what you are seeing is absolutely the results of an absolute focused attention on that plan. And the people that watch us and rate us and look at us are – that’s what they are looking for, is do we have a plan, are we performing on the plan? So, it will reveal itself overtime, but our focus is on creating not only great products but a really strong business now for all of us.
Keith Naughton – Bloomberg: Okay. Thank you.
Alan Mulally: You are welcome.
Operator: Your next question comes from the line of Brent Snavely representing Detroit Free Press. Please proceed.
Brent Snavely – Detroit Free Press: Hi guys, how are you doing?
Alan Mulally: Hi Brent, doing well.
Brent Snavely – Detroit Free Press: Looking at slide 14, with the $4.6 billion in structural cost reductions, I believe you said all of that was over the first nine months of this year. Especially the manufacturing and engineering, I was wondering if you can elaborate a little bit on how you achieved that, I mean, the $2.4 billion seems like a pretty impressive number there?
Lewis Booth: We had really record levels of productivity improvement around our facilities in the world. As you know, we have had some pretty painful personnel reduction actions, and also, I think beginning to reap the benefits of our global product development actions, both in terms of working on the products and also implementing the Ford product development process. So, there is a variety of things in there, but it’s really around getting more efficient in both manufacturing and product development.
Brent Snavely – Detroit Free Press: And just to be clear, so all of these structural cost improvements occurred this year, they are not a carryover at all from actions taken in prior years, or they carryovers?
Lewis Booth: Yes, clearly, a significant portion of this is the first nine months effective actions we particularly put in place in the fourth quarter of last year.
Brent Snavely – Detroit Free Press: Okay.
Lewis Booth: But it’s this year, and that’s why we are giving guidance that we expect those year-over-year improvements to slow down as the base reflects the improvements we made.
Brent Snavely – Detroit Free Press: Okay, thank you.
Alan Mulally: You bet.
Operator: Your next question comes from the line of Jeff Bennett representing Dow Jones Newswires. Please proceed.
Jeff Bennett – Dow Jones Newswires: Good morning Alan. I was wondering what strategy you do have because you do know that European sales will fall off so much, I mean, is that an incentive that you may have to do there? And also, with UAW, I know that’s still in the air, but kind of cost are you looking in that either to save or have to add to the balance sheet if that doesn’t go through?
Alan Mulally: Sure. Jeff, on the first one, we will continue our fundamental strategy in Europe and around the world matching the production to the real fundamental demand as we have talked about. That’s just been – you know, our foundation has allowed us to get the value out of the products as well as match the production to what people really do want. And we will continue to do that, and the only reason that we said we want to get a little bit more data is just not quite clear to all of us the strength of the recovery in each around the world. But we will assess that and then we will provide everybody updated guidance in January. On the second question, clearly, I don’t want to comment now because we want to follow the process of letting the UAW announce our results, but clearly, we have a long track record, working very effectively with all of our stakeholders including the UAW to improve our competitiveness. And we have made substantial progress on that, and we will continue to work on every element of our competitiveness going forward. So, we will have more later when, you know, after the results are out.
Jeff Bennett – Dow Jones Newswires: I was wondering if you could clarify when you say that you won’t be at a disadvantage basically no matter what the outcome with UAW, that would seem that you didn’t really need the concessions to begin with?
Alan Mulally: Part of the issues are going forward, and the UAW has clearly indicated that they do not expect Ford disadvantaged going forward, and we are aligned on that, we are going to continue to work on it.
Jeff Bennett – Dow Jones Newswires: Okay. Thanks.
Alan Mulally: You bet.
Brian Harris: Katrina, I think we have just time for one more question, please.
Operator: Your final question will come from the line of Robert Schoenberger representing the Plain Dealer. Please proceed.
Robert Schoenberger – Plain Dealer: Hi good morning.
Alan Mulally: Good morning.
Robert Schoenberger – Plain Dealer: Looking at the currency situation especially in Europe with the Euro, the dollar is falling strength against the Euro, is there going to be more attention paid to possibly sourcing things in North America, and if so, does that give any way to Mexico and the United States or Canada in that equation?
Lewis Booth: Our underlying philosophy is to build the way we sell. Obviously, on the margin, we can continue to look at, but it’s a very difficult thing to chase currency in the – near-term change in currency with production. So, the underlying assumptions will go the way we sell.
Robert Schoenberger – Plain Dealer: Great, thank you very much.
Brian Harris: Okay. Thank you. That concludes today’s presentation. We thank all of you for joining us today.
Lewis Booth: Thank you Brian.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes your presentation. You may now disconnect. Good day.